Operator: Hello, and thank you for joining us for i-80 Gold's 2025 Second Quarter Conference Call and Webcast. [Operator Instructions] This call is being recorded today on Wednesday, August 13, 2025. Presenting on the call are Richard Young, President and Chief Executive Officer of i-80 Gold. Paul Chawrun, Chief Operating Officer; and Ryan Snow, Chief Financial Officer. Before we continue, please note that some of today's comments may contain forward-looking statements, which involve risks and uncertainties. Actual results could differ materially. I ask everyone to view Slide 2 of the presentation, which is available on i-80 Gold's website to view the cautionary notes regarding forward-looking statements made on this call and the risk factors related to these statements. Following today's formal presentation, we will open up the call to your questions. Now over to Richard.
Richard S. Young: Well, thank you, Michael, and good morning, and thank you for joining us today. Let's start with Slide 3. The second quarter was pivotal for the company. In May, we completed an equity raise that marked a major step in our recapitalization plan, strengthening our balance sheet, improving liquidity and positioning the company to advance the development plan we announced last November. The financing allows us to: one, advanced technical studies, including feasibility studies and the Class III engineering study for the Lone Tree autoclave processing facility; two, move forward with underground development at our committees; three, initiate infill drill programs and four, continued permitting work across all 5 gold projects in the portfolio. Also during the second quarter, Paul Chawrun, joining the team as our new Chief Operating Officer. Paul has decades of operating experience and deep technical knowledge, a perfect fit for the technical work ahead. In just over 3 months, Paul has taken a key role in managing various work streams, identifying opportunities for improvement and pinpointing areas needing additional focus and personnel as we grow. We have a lot going on across the board. The opportunities within this pipeline of assets provide a clear path to establishing i-80 as a Nevada-focused mid-tier gold producer. Turning to Slide 4. Slide 4 demonstrates a clear 3-phase buildup in average annual target production to over 600,000 ounces of gold by the early 2030s. To get there, we are prioritizing the development of our high-grade underground projects during the first phase, starting with Granite Creek underground and our committees, alongside the refurbishment of the Lone Tree autoclave to serve as a central processing hub. During this first phase, average annual gold production is expected to increase from less than 50,000 ounces per year to a target of 150,000 to 200,000 ounces by 2028. Shortly thereafter Phase 2 plans for the introduction of Cove underground and Granite Creek open pit, which are expected to increase gold production to between 300,000 and 400,000 ounces of gold by 2030. Phase 3 marks the biggest step change when Mineral Point comes online, driving production beyond a target of 600,000 ounces per year by 2032. Mineral Point open pit is a large heap leach project similar to a number of the large scale operating mines in Nevada. Achieving this scale of organic growth, on our time line is unique. We feel this is one of the best organic growth stories in the industry, and it's in Nevada. And now I'll turn the call over to Paul.
Paul Chawrun: Thank you, Richard, and hello to everybody. So turning to Slide 5. During my first 3 months with i-80, I've had the chance to evaluate our operations and development projects. We determine their technical status, additional work required and to identify opportunities to optimize execution, ramp up of personnel and potentially accelerate timelines. Some initial observations stand out. We have a solid geological understanding of our assets, underpinned by high-grade resources with meaningful growth upside. The supporting technical work required is relatively low risk positioning us well to advance our projects with confidence. We have a significant resource base with 6.5 million ounces of measured and indicated gold resources and 7.5 million ounces of inferred resources following prior years of extensive drilling and as well, approximately 100 million ounces of silver in each of the 2 categories. The 2025 drill program is progressing well, with a focus on infill drilling to advance technical studies. Next, we have access to a deep bench of experienced operating and technical mining talent. Our team brings decades of technical and operating experience from other major mining operations in Nevada. Recently, we have hired additional personnel in Reno and at the operations to execute on our growth plan. Next, we have industry-leading environmental, health and safety systems and controls. And lastly, i-80 has an established presence in the local community and trusting relationships with regulatory agencies, creating pride and commitment within our workforce. Moving to Slide 6 for a look at Granite Creek underground. Mining volumes during the second quarter were ahead of the prior year period. We mined approximately 24,000 tons of oxide mineralized material at a gold grade of 11.4 grams per tonne and approximately 11,200 tons of sulfide material at a gold grade of 7.4 grams per ton, plus an additional 16,000 tons of incremental low-grade oxide material at a gold grade of 3 grams per ton. For the quarter, just under 6,000 ounces of gold were sold, of which approximately 1/4 of the ounces were leached and sold from the Lone Tree heap leach facility. Approximately 28,000 tons or 7,000 ounces of sulfide mineralized material were stockpiled for processing at a third-party facility. We are encountering higher-than-expected levels of oxide mineralized material at Granite Creek underground compared to our March 2025 PEA. On the dewatering program, the team has shifted to a more proactive long-term approach and continues to upgrade the infrastructure. These upgrades include the planned installation of 2 additional surface dewatering wells, which is one more than initially planned at the beginning of the year based on the new predictive groundwater model. It includes expansion of the water treatment facility and upgrades to the existing underground water management infrastructure. We expect groundwater inflows to remain at or near the current ingress rates for the foreseeable future. However, by installing these mitigation measures, water inflows are not expected to impede our development planning for the long term. With the proper dewatering infrastructure in place, continued drilling, further technical work over the next 6 to 12 months, Granite Creek has the potential to be an excellent asset for us. At Lone Tree and Ruby Hill, we continue recovering gold from the existing leach pads with approximately 2,400 gold ounces recovered and sold in the second quarter. Company-wide, we expect to extract between 30,000 to 40,000 ounces of gold in 2025, in line with guidance. This includes 20,000 to 30,000 ounces of gold from Granite Creek and approximately 10,000 ounces from the heap leach pads. At Granite Creek underground, we completed the underground exploration drift, providing access for infill drilling in the prospective South Pacific zone. We currently have a total of 2 rigs underground and 3 at surface with more than 40 holes planned for a total of approximately 46,000 feet. The program is designed to upgrade the mineral resource and form the basis for the upcoming feasibility study planned to be completed for the first quarter of 2026. Next, let's turn to Slide 7 for an update on our second planned underground mine. At Archimedes, the upper level permitting is nearly complete, which covers mining activities above the 5,100 foot level, while we focus on geochemistry and technical studies to support permitting needed for the lower levels. With surface infrastructure to support the portal now complete, development of the underground exploration drift is scheduled to commence in the next several weeks. Infill drilling of the Upper Zone is expected to start in the fourth quarter followed by the lower zone in Ruby Deeps by the first quarter of 2026. In total, the program will comprise of over 175 holes and 197,000 feet with results feeding into a feasibility study targeted for the first quarter of 2027. With our committees progressing well, let's turn to Slide 8 for the status on Cove. At Cove, we are actively advancing major permit applications in anticipation of an EIS, which is planned for completion by the end of 2027. Following the completion of a 145,000 foot infill drilling campaign completed in the first quarter, we now plan to provide an updated mineral resource estimate this quarter followed by a feasibility study targeted for the first quarter of 2026. It is important to note that the current mineral resource estimate for Cove does not yet include drilling completed in recent years. Results to date have been encouraging and are consistent with traditional Nevada Carlin-style mineralized systems, meaning generally high conversion rates of resources to reserves. Turning to Slide 9 for a look at our Lone Tree processing facility. Lone Tree's plant and autoclave refurbishment study is expected in Q4. The refurbishment is highly achievable due to the low amount of construction hours minimal long-lead equipment and strong local contractors available in Northern Nevada. In addition, engineering is being completed by Hatch, an industry leader in autoclave plant technology. Recruitment of the owner's team is also underway to oversee the engineering and execution, and we are reviewing the schedule for early works opportunities to accelerate the time line. Commissioning the Lone Tree plant provides processing capacity of refractory material fed directly from our operations. It increases the payability on refractory material from a range of 55% to 60% up to approximately 92% recovery, which translates to a range of approximately an additional $1,000 per ounce versus toll milling depending on the grades processed and the price of gold. For this reason, Lone Tree is a cornerstone of our plan and is being prioritized. Now looking at Slide 10. Drilling at Mineral Point open pit began in June with 2 surface core rigs completing approximately 5,800 feet to collect baseline technical data, supporting initial permitting and the next phase of technical studies. Strategic reviews of the technical work completed to date are currently underway to determine the timing of a pre-feasibility or feasibility level study. Now over to Ryan for a financial review.
Ryan Snow: Thank you, Paul, and good morning, everyone. Starting my review with Slide 11. Gold sales totaled approximately 8,400 ounces for the quarter, which was an increase over the prior year period. Total revenue from gold sales increased to approximately $28 million for the quarter, driven by higher ounces sold and a higher average realized gold price of $3,301 per ounce. We concluded the quarter in a net loss position of $0.05 per share, primarily due to the ramp-up and development stage of our operations. Our cash position was approximately $134 million at the end of the second quarter, a significant increase from the previous quarter due to the net proceeds received from the bought deal public offering and private placement, partially offset by settling the gold and silver deliveries under the prepaid instruments for approximately $42 million. Moving to Slide 12. We continue to execute on our recapitalization strategy, focused on strengthening the balance sheet and funding our development plan. In May, we raised gross proceeds of $186 million through the bought deal offering and private placement to align our balance sheet with the scale of asset development ahead. If fully exercised, the warrants associated with this offering could provide the company up to approximately $130 million in additional proceeds. For 2025, we continue to target $40 million to $50 million in growth spend across 3 priorities: permitting, feasibility studies and the development of Archimedes underground. Through mid-2026, we expect to allocate just over $90 million to fund our 12 to 15- month growth plans across all 5 gold projects and our Lone Tree processing facility. By that time, we expect to have a new senior debt facility in place in the range of $350 million to $400 million to move forward with our development plans beyond 2026. We also continue pursuing the sale of our noncore FAD project and a potential royalty sale on Mineral Point. I'm pleased to report that our current discussions with debt providers have been encouraging. With that, I'll now turn the call back over to Richard.
Richard S. Young: Well, thank you, Ryan. Now turning to Slide 13, which outlines several key catalysts on the horizon. On the project development front, we anticipate achieving steady-state production at our first mine, commencing construction and our second planned mine, completing the feasibility study for the Lone Tree refurbishment and advancing infill drill programs to support 5 upcoming feasibility studies. These efforts will run in parallel with the continued execution of our recapitalization plan. Overall, we expect the next 12 to 18 months to be transformative for the company. I think it's going to be a game changer for our shareholders. And Michael, with that, we'll now open up the call for questions.
Operator: [Operator Instructions] We will now take our first question from Justin Chan with SCP.
Justin Chan: Congrats on the progress. Definitely some notable progress at Granite Creek, I'm curious for the rest of the year, are you expecting, I guess, ton and grades to continue to trend upward. That's one. And two, I noticed that you commenced production of -- or processing of some sulfide ore. Is that -- can I ask if that schedule is up to you? Or is that kind of dependent on the timing of your full processor? And what if any guidance can you give us for the second half on that?
Paul Chawrun: Well, thanks. I'll start with Granite Creek production. So our ore tons have not been affected by the water. It's really about development for 2026 and beyond. We're getting ahead of the issues at the water. It still takes us a bit of time to get going on that. And then by that point, we'll then accelerate the underground waste development and then get back on track to increasing the ore tons. But there's nothing affecting that in the shorter term through to the rest of the year. I hope that answers your question because then I'm going to hand it over to Ryan to answer the sulfide question.
Justin Chan: Well, maybe just while you're on the line on that. So I guess, when do you expect to be where you want to be on dewatering and then progressing to development?
Paul Chawrun: Yes. It's all about getting ahead of it. So we're able to manage the water now. We're getting better at developing a more long-term infrastructure to be able to manage to contact water. But it will have meaningful progress once we get the dewatering wells in place and once we get the water treatment facility. And so that's more towards the end of the year. But we are continually improving that and getting a better handle on actually dealing with it on a day-to-day operations.
Justin Chan: Got you. And actually before you hand it over, I was just curious -- sorry to interrupt on -- you mentioned again about more oxides. Are those oxides occurring where you've modeled the sulfides? Or are they just incremental to the model altogether? Can you give us a bit of color on what you're seeing?
Paul Chawrun: Yes. So what's happening is the model itself didn't take into account as much as could be on the fault structures. And so when we're intercepting those, and that's where a lot of the mineralization occurs we get more of an oxide than what was originally modeled. And that's all that is. But we're getting the grades. And in fact, the oxide ore is beneficial.
Richard S. Young: So Justin, before we turn over to Ryan. So our guidance for the year was put out before the predictive model was finalized. And so with the predictive water model now being finalized, as Paul mentioned, there's a second dewatering well required that wasn't planned originally in the budget, and we are also advancing a much larger water treatment plant to allow us to properly deal with the water. So I think, Paul, correct me if I'm wrong, once the infrastructure as well as the underground infrastructure in place, water won't be an issue.
Paul Chawrun: It won't be an issue. And it wouldn't have been -- have just been known ahead of time. It will take us -- to deal with the long-term issue, it will take us about 6 to 12 months to get this infrastructure in place. But in the shorter term, we have -- we're developing new infrastructure to deal with the contact water, we're presently seeing underground.
Richard S. Young: Yes. And so Justin, on the question on the oxides, we have been, since we started mining outperforming the model. And we're hopeful that as we now move into the South Pacific zone, we're going to see better grades, more latitude, longitude in terms of width of the ore body that should assist with the mining. And now I'll turn it over to Ryan to answer the question on the toll milling.
Ryan Snow: Justin, on the sulfide processing agreement, the terms of the new agreement give our partner up to 120 days from when they receive the material to process it. We've seen faster turnaround times than that thus far, and we're planning on approximately 90 days of time between when the material is received at their facility until when it's processed.
Justin Chan: Got you. And I guess, given that they have material now it like with them already, I guess just for modeling quarter after quarter, do you expect now pretty an ongoing volume for sulfide or process for Q3 and Q4?
Ryan Snow: We do. I would expect Q3 to be a little bit higher than Q4 as we work through some of the stockpile that we had as we were negotiating this new agreement, but we will see continuous sulfide processing going forward.
Richard S. Young: Justin, maybe just one more question because I know you're focused on the modeling. So we had guided at the outset of 58% payability, and that's really where this toll milling agreement was designed. But in actually, what you'll see moving forward is we'll get the recoveries through the autoclave, which are roughly 92% and then a higher cost structure to net us back to that 55% to 60% net payability depending on the grade of the material that we send across.
Operator: Our next question comes from Don DeMarco with National Bank.
Don DeMarco: First off, congratulations on progressing through your liabilities and seeing revenue increase significantly quarter-over-quarter. My first question, so I see that you mentioned an outlook to extract 30,000 to 40,000 ounces in 2025, primarily from Granite Creek. Can you add color on what this implies for Q3 and Q4 and do you expect revenue to continue higher into these quarters? And is this output potentially a material source of supplementary liquidity at some point?
Richard S. Young: Right. So we're -- because we don't have reserves under in the U.S. under U.S. GAAP, we can't call production. So -- but we're talking about 30,000 to 40,000 ounces of production for the year. And we're certainly proceeding well. We're on plan. So certainly, we would expect total production for the year between 30,000 and 40,000 ounces. And keep in mind that we don't -- anything that is an inventory as part of the toll milling, we don't include this production for the year. But we feel confident that we're well on track to meeting that 30,000 to 40,000 ounces of gold sales and revenue for the year, if that's helpful.
Don DeMarco: It seems that it would make for a somewhat accentuated back-end loaded year. I'm totaling up Q1 and Q2 production around maybe 15,000 ounces or so. So is that -- am I reading that right that we should expect a step change in production?
Richard S. Young: A bit at the margin in that, as Ryan mentioned, we've got those 7,000 ounces in inventory, sulfide inventory as well as some oxide inventory that will get processed in Q3. And that's why Ryan talked about Q3 being a little bit lumpier than Q4.
Don DeMarco: Okay. Excellent. Okay. So I'm reading that for my second question, you aim to complete the recapitalization by mid-2026. And Ryan, I think I heard you mentioned a facility for $350 million to $400 million. With this whole recapitalization including the facility or other options, would it potentially provide enough liquidity to address the existing liabilities plus EG like fully fund the autoclave refurbishment?
Ryan Snow: Yes. I mean our intention is that with the equity we raised earlier this year and this potential debt facility of $350 million to $400 million, that we'd be well positioned to advance both the recapitalization of the balance sheet and taking out the existing liabilities and advancing our development plan. We are also looking at additional sources of cash or liquidity through the noncore FAD asset sale and a potential royalty on Mineral point. We're advancing all of these simultaneously.
Richard S. Young: As well as we've got some restricted cash and some other warrants that potentially would come to that would add another $100 million. So we're looking to over raise, Don. So look, we've been running roughly about $800 million to execute the plan through the end of the decade, and we're looking to raise $900 million to $950 million to make sure that we're in a strong position to be able to advance and accelerate some of our activities and deliver the most value for shareholders through the balance of the decade.
Don DeMarco: Okay. And then just as a final question then, you mentioned divesting the noncore FAD property as a candidate, Mineral Point has also been mentioned now. What do you think each of these assets might garner in the event of a disposition?
Ryan Snow: Yes. So the noncore Fed asset sale, we envision somewhere between $50 million and $100 million. When it comes to the potential royalty on Mineral Point that could be around $100 million as well to get to the numbers that Richard mentioned.
Operator: [Operator Instructions] Our next question comes from Harrison Reynolds with RBC Capital Markets.
Harrison Reynolds: Great to see the ongoing progress. Just a couple of questions from me. First, with the autoclave refurbishment getting close to being wrapped up, do you have any updated bookends on the potential CapEx of the refurbishment?
Paul Chawrun: Yes. We're in the range of $350 million to $400 million and that's all in. We're going to have the final numbers in about a couple of months, and we're actually getting started on some of the early works.
Harrison Reynolds: All right. That's great to hear. And when you say you could potentially accelerate that time line. Are you talking about spending that capital? Are you talking about the engineering work going better than expected? Like what would be the cause of an accelerated time line?
Paul Chawrun: Yes. So I mean, this is somewhat similar to other major projects. But what we're looking at is a limited notice to proceed to provide to Hatch then that would allow them to get going on assembling a team for basic engineering and as well as some of the basic engineering for the procurement items. And as well, there is some engineering to be done on the -- what we just call them normal course permits because there has been some changes in air quality in some of those standards. So we need to get those done well ahead of time. And then we are looking at construction strategies where we would actually do some of the demo work ourselves and work with Hatch on that. And that -- all those things together can accelerate the time line overall. And they're not high capital either.
Richard S. Young: So Harrison, I think in the development plan, we talked about commissioning beginning January 1, '28. Paul coming on board is looking to accelerate and try and complete that commissioning in '27, if we can.
Harrison Reynolds: Great. No, that's incredible news. Great to see. And maybe just a last 1 for me. Switching gears back to Granite Creek, can you talk about -- I know it's early days in the underground drilling at the South Pacific zone, but are those early results confirming kind of what you expected? Or are there any new interpretations you're seeing or new learnings you're seeing from that part of the deposit?
Paul Chawrun: I can speak to visual controls from the core. We're still very early days on receiving the assay results, though it's very consistent and it's infill drilling. So we're comfortable. And we do hope I won't commit to it, but we do hope to have some of the very preliminary results for the Beaver Creek in early September.
Operator: Our next question comes from Justin Chan with SCP.
Justin Chan: Just maybe one on the time lines and the recapitalization. So would it be fair to say that getting these studies done in Q4 kind of gives you solid bankable studies that you can use as part of the recap and that's why Cove has been brought forward? Or is there another reason perhaps that I'm reading too much into it?
Richard S. Young: Justin, great question. So following a traditional bank financing, you need these feasibilities done. And so the goal is to have 3 of the 5 feasibility studies by Q2 next year as well as have a lot of work done at our committees that supports a borrowing. But at the same time, the team is pursuing a variety of recapitalizing opportunities. Justin, from those who know the group at Teranga, we are never blessed with a lot of cash on the balance sheet. So along with Ryan, we've got Dave Savory in Catarina, our GC and our VP Finance and Lilly strategy who have probably collectively done roughly 12 different deals, not all of them completed in the past. But we are actively pursuing different sources of capital. The debt markets are extremely liquid today and there are different sources. There are different capital providers. There might be some infrastructure groups that might be available for the autoclave. So while our target is to complete that work by the end of the second quarter next year because that's when the Orion facility matures. We are actively looking at different options today, and we'll continue to do that through the balance of the year into the next year to find the best recapitalization for the company as we move forward with the most flexibility to allow us to execute on the plan.
Operator: That appears to be our last question. I'll turn the conference at this time back to Richard Young for any additional remarks.
Richard S. Young: Thank you, Michael. And so a couple of things to mention. So Beaver Creek, we're planning for our VPX to present at Beaver Creek on the exploration that's underway. We expect to announce the updated resource at Cove. We think that will be very positive as well as if we've got some of the assay results and can talk to what's going on at Granite Creek and talk about the plans for our committees as well as Mineral Point. So that would be Beaver Creek and then for the Denver Gold Show. Paul will take the lead and give a further update on the development plan as it's progressing. So turning to our final slide. As we look ahead, we are building a gold company with real scale, robust project economics and the capability to deliver sustainable growth and long-term value for shareholders. So thank you for your continued support and for joining us on the call today. Michael, that should wrap it up. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.